Operator: Good morning. My name is Manny and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Mandalay Resources Corporation First quarter 2017 Financial Results Conference Call. Joining us on the call today is Dr. Mark Sander, President and CEO of Mandalay Resources. All lines have been placed on mute to prevent any background noise. After each brief presentation, there will be a brief question-and-answer period. [Operator Instructions] This call contains forward-looking statements, which reflect the current expectations or beliefs of the company based on information currently available to the company. Forward-looking statements are subject to a number of risks and uncertainties that may cause the actual results of the company to differ materially from those discussed in the forward-looking statements. Factors that could cause actual results or events to differ materially from current expectations are disclosed under the heading Risk Factors and elsewhere in the company's Annual Information Form dated March 31, 2017, available on SEDAR and the company's website. Information on this call should be read in conjunction with information posted to the Mandalay website. Thank you. Dr. Sander, you may begin the conference.
Mark Sander: Thank you. Good morning everyone. I have here in the room with me Sanjay Swarup, our CFO; and Greg DiTomaso, our Director of Investor Relations. Thanks for joining us. I would like to make a few brief introductory remarks and then really spend most of the session taking questions from those who have. As we announced last night, our first quarter 2017 revenues totaled $45.4 million, our EBITDA was $11.4 million, and after all the adjustments we ended up at a $2.3 million loss for the quarter. These results are clearly inline with the previously announced production and sales for the quarter. There are no odd surprises or one-off items here. We are firmly on track for delivering on our previously guided full-year outcomes. We can talk about that going forward. At Björkdal, the theme really right now is that the grade control works and we are debottlenecking our mining operations for faster delivery of high grade ore. As detailed in the press release and further in the MD&A, we’ve added underground haulage capacity and open pit blast-hole drilling capacity, so that we can again up the delivery rate of highest grade A quality ore and reduced – yes reduced the volumes of the lower grade screened B-ore, which will raise the average grade through the mill and the gold. These are in place and their full effects are being realized during May. Costerfield, we are taking consistent results with the plan and guidance that we previously announced. The mine continues to intensively drill around the Brunswick lodes, so that we can increase the number of ounces in a mine plan around that and hopefully justify investments in developing Brunswick around about mid-year. And at Cerro Bayo, the operation has stabilized on the new plan that we put in place to accommodate the already announced reserve disappointment on Delia South East. And Cerro Bayo is in fact performing well against that plan so far and we expect it to continue to do that through the year and into 2018. With those introductory remarks, I'd like to open the floor to questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] The first question is from Chris Thompson with Raymond James. Please go ahead.
Chris Thompson: Hi, good morning guys. Just a couple of quick questions. Let’s start up at Cerro Bayo. Looking at recoveries I guess in the Q1, obviously stepped up versus what you guys sort of on average last year at least sustainable at these levels?
Mark Sander: Yes, they are. We have sort of adjusting the blend of ore and the reagents. We have managed [indiscernible] troubled us through several quarters last year. And as well the grades through the plan have listed a bit, so that the head grade related recovery curves are working on favorite note.
Chris Thompson: Okay, great. And then just looking at the costs I guess on a dollar per ton basis a little lower than I was anticipating obviously based on the lower throughput. I mean again is this what we should be modeling on a…
Mark Sander: The main reason for that is that we have gone through a modified shifting schedule at the mill and reduced the operating shift by one. So there is quite a headcount reduction at the – especially at the end of Q1 and that will help even more going forward. So we expect that our daily maximum throughput rate for this year at about 1,000 tons a day and we’re not paying people to hang around when there is no award through the mill and that’s just the mine – perfectly right now.
Chris Thompson: Great, thanks. And then just finally on Cerro Bayo to see the CapEx I guess for the quarter, I guess a little [indiscernible] we can anticipate just the CapEx at the moment?
Mark Sander: Yes, it’s just the timing first on the grade – and we did experience a bit slower rate of capital development from the contractor, which is all capitalized and they are actually done with their program in July. And we’re making plans about how to – going forward after their contract is up.
Chris Thompson: Okay, all right just moving quickly on to Björkdal. Well, can you give us a sense of just the open pit and underground grades that are currently fitting the plant at the moment?
Mark Sander: At the moment, for the quarter, they’re hitting the MD&A and I will just go to that page, but you should read by yourself. So right now the – okay, we give you the average grade, which is 1.3 grams a ton. The open pit would be in the probably for the quarter in about 1.1, 1.2 range and the underground would be in the 1.45 to 1.5 range. So I don’t have those numbers straight to hand, but the issue is that we can now pretty well predict the capital leases the great that we are going through especially A-ore grades which is a higher grades. And the issue is really focused now on decreasing volume bottlenecks. So that we can actually practice the grade control and deliver a higher rate of this A-grade ore. As you probably remember the balance of the mill is always filled with lower grade stockpile or B quality ore coming out of the mine. We’ve started to screen that to upgrade its grade and just process the mines. But its still – that material is still consistently the lower ground. So the average grade through the mill, the average grade through the mill is come to the three components the highest grade underground, the medium grade open pit and the lowest grade screened B-ore and its relative percent of those feeds is currently the average grade through the mill. And in order to increase the grade now we are – the average grade we are taking measures to debottleneck especially the underground operation and that was simply a matter of having contract haulage capacity. So that we are no longer having to hold stockpiles though, actually the higher grades stoping the development ore underground. And as well – we are now fully licensed for mining in the Lake Zone which will bring added working phases and into play for the underground development ore and we’ll begin stoping in the Lake Zone some time in the next few weeks. So that’s again a higher rates of delivery of higher grade underground ore.
Chris Thompson: Okay.
Mark Sander: The bottleneck in the open pit was to bring lots of ores and we actually loop the ore contractor and through March we are breaking in the new contractor and come to the heating problems. For the last roughly month, the drilling at the target rate to sustain that rate of production up here.
Chris Thompson: Okay, all right. And then just final, what sort of head grade I mean for the mill are you likely seem to deliver as obviously this head grade ramped up?
Mark Sander: Its – the plan for the years is really is not a gram and a half. We are not there through Q3 but discuss we’ve taken so far kind of and more of the we will see when the next generation of bottlenecks goes up as we break through the ones we’ve invested, the grade should stabilize.
Chris Thompson: Perfect. Thanks a lot.
Mark Sander: But our sort of model here is again trying to – is really trying to hold 1.5 or 1.55 through the mill to get in the realm of 60,000 ounces a year when we get. We’ve got the bottlenecks full results.
Chris Thompson: Okay, all right. Thank you, Mark.
Operator: Thanks [Operator Instructions] Thank you, it appears we have no further questions. I would like to turn the conference back over to management for closing remarks.
Mark Sander: Okay. Great, if there is any question as we are anticipating. I hope that reflects everybody on the line has a clear understanding of where we are at and where we are going. And again I encourage you to get a hold of new grade, if you have any follow-on questions and we’ll answer them as quick as we can. Thank you very much. And we’ll talk to you next quarter.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. And thank you for your participation.